Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Hibbett Sports First Quarter 2013 Conference Call. [Operator Instructions] As a reminder, this conference is being recorded today, Friday, May 18, 2012. 
 I would now like to turn the conference over to Mr. Mickey Newsome, Executive Chairman. Please go ahead, sir. 
Michael Newsome: Thank you, operator. With us also is Jeff Rosenthal, our CEO; our Senior VP of Finance, Gary Smith; our Senior VP of Merchandise and Marketing, Becky Jones; and our Senior VP of Store Operations, Cathy Pryor. We will all be available for questions later. We appreciate you being on our call today, and we appreciate your interest in Hibbett Sporting Goods. 
 Before we start, Gary Smith will cover the Safe Harbor language. 
Gary Smith: Thank you, and good morning. In order for us to take advantage of Safe Harbor rules, I would like to remind you that any projections or statements made today reflect our current views with respect to future events and our financial performance. There is no assurance that such events will occur or that any projections will be achieved. Our actual results could differ materially from any projections, due to various risk factors, which are described from time to time in our periodic reports with the SEC. 
Michael Newsome: Now our President and CEO, Jeff Rosenthal, will speak with you. 
Jeffry Rosenthal: Good morning. As you know from our press release this morning, our first quarter earnings per share were up $0.98 versus $0.76 a year ago. Overall sales for the first quarter increased 14.4% to $232.9 million. Comparable sales increased 11.1%. 
 Comps by month are as follows: February, up 10.82%; March, up 9.77%; and April, up 13.41%. 60% of the sales gain is coming from increased traffic and 40% of the sales gain is coming from price. 
 From a real estate perspective, we opened 7 new stores, expanded 2 high-performing stores and closed 4 underperforming stores, bringing the store base to 835 stores in 26 states. We still have identified 400 additional markets in our existing 26-state area and could easily grow to over 1,300 stores. We are on pace to open 55 to 60 new stores and expand approximately 15 high-performing stores. 
 We have started very strong in comparable sales through yesterday, with sales up in the high single digits. Our company is confident moving forward into the rest of the year by moving its fiscal 2013 guidance to a range of $2.50 to $2.65 diluted per share. The Hibbett strategy has continued its success as evident by achieving 10 consecutive quarters of comparable store increases. 
 With numerous opportunities ahead, our future is bright for the rest of this year and for years to come. 
Michael Newsome: Next, our Senior VP of Merchandise and Marketing will speak with you. 
Rebecca Jones: Good morning. Our first quarter performance was healthy in all categories. Double-digit comps were achieved in apparel, footwear, accessories, while our Equipment division grew in mid-single-digit comps. The branded Activewear continues to have exceptional results in all genders and sizes. Shorts and tees drove the results. 
 Our continued focus on brands such as Nike, Under Armour and Adidas is resonating very well with the consumer. Jordan and Adidas Originals are also doing well. The licensed apparel area had high-teen comps, with the Kentucky National Championship contributing to the total. Our overall Collegiate business was quite good, as well as the headwear category. The Footwear business had an excellent quarter. We had good results in men's, women's and kids' running shoes and sandals. Nike, Under Armour and Brooks were top-performing suppliers in the running category. Jordan was particularly good, bringing our traffic into our stores and contributing to top line sales. Adidas Originals had a positive impact as well. 
 Accessories drove mid-teen comps, with socks, sunglasses and headwear driving results. Top suppliers were Nike, Oakley, Costa and Under Armour. The Equipment division posted a mid-single-digit comp in the first quarter. An increase in bat sales contributed about 1/2 of the baseball comp for the quarter. 
 Football business was healthy, posting a high-single-digit comp; basketball, mid-teen comp; and soccer, high-single digit comp. The inventory in our stores is clean and we are in good shape prior to the back-to-school season. We're pleased with the product offering from our supplier partners, and we feel that we're really well positioned for the upcoming back-to-school season. 
Michael Newsome: Next, our Senior VP of Finance will speak with you, Gary Smith. 
Gary Smith: First quarter sales increased $29 million to $232.8 million, a 14.4% increase from the previous year. Fiscal comps were up 11.1%. Gross profit rate increased 75 basis points. Product margin rate increased 22 basis points, and occupancy and warehouse leveraged the remainder. We also gained favorable leverage on SG&A, as we saw rate improvement in salaries and credit card fees. 
 Depreciation and amortization was under last year's dollars due to declining leasehold improvement. The unfavorable tax rate was due to the lack of income tax credits due to the expiration of job tax credits. 
 Operating income as a rate to sales increased 144 basis points to 18.2% and increased in dollars from $34.1 million to $42.4 million. Diluted EPS came in at $0.98 versus last year's $0.76, a 29% improvement. 
 From a balance sheet perspective, the company ended the quarter with $95.8 million in cash, the highest quarterly amount ever, versus $85.3 million last year with no bank debt. Inventories increased 3.5% over the previous year, but down slightly on a per-store basis. We spent $2.5 million in CapEx for the year versus a $15.9 million budget. And for the quarter, the company purchased a little over 300,000 shares at $16.8 million. At quarter end, we have approximately $131 million left under the remaining purchase authorization. 
Michael Newsome: Operator, we are now ready for questions. 
Operator: [Operator Instructions] Our first question comes from the line of Seth Sigman with Credit Suisse. 
Seth Sigman: Some retailers have talked about some pull forward in Q1. You mentioned sales of high single digits quarter-to-date now. Obviously, a very strong trend, but do you think there were some pull forward in April that maybe you could speak to? 
Rebecca Jones: We don't really think that we've got a pull forward. We think we're on really, just a decent trend as far as sales goes. From our perspective, when you look at the weather being warmer, it really -- that's not the impact for us. It's not about whether it's hot or cold necessarily, it's more about is it wet or dry. And on what we saw happen in -- throughout the quarter was really pretty consistent sales, and we're seeing that trend continue into this month. 
Seth Sigman: Okay, that's great. And then another question about your e-commerce business. Last quarter, you announced a partnership with a third party to run that licensed part of the business. Can you talk a little bit about the thought process behind that decision and maybe how it's done so far? 
Jeffry Rosenthal: Yes, it's just really an affiliate program. It's a click-through, and we're getting a small royalty off of it. We just felt it was good for our customers, and that's what we're doing right now. And in a future date, we'll have an e-commerce strategy. 
Seth Sigman: Have you seen any cannibalization as you launch that or... 
Rebecca Jones: No. 
Jeffry Rosenthal: Not at all. It's so insignificant. 
Operator: Our next question comes from the line of Rick Nelson with Stephens. 
Rick Nelson: Mickey or Jeff, can you update us on the real estate market, what you're seeing in terms of existing buildings, as well as new shopping center development? 
Jeffry Rosenthal: Yes. Rick, we feel very confident in hitting our goal for this year. So far this year, we're ahead of the pace that we set out at the beginning of the year or last year to hit for this year. We are seeing it get a little bit better. New store construction still isn't where it needs to be, but we are seeing a slight improvement, and we feel really good about the opportunities that out there. 
Rick Nelson: And the Blockbuster, Movie Gallery opportunities are... 
Jeffry Rosenthal: We still have got a few of those still coming. I know as the leases become available and they can work our kind of deal, we'll do those kind of deals. A lot of time we have to wait out the landlord because Blockbuster, Movie Gallery were paying too high a rent than we're used to paying. But we have gotten a few more this year. 
Michael Newsome: Rick, another thing that's happened is some of the old Walmarts, where they move to a supercenter, they're chopping up those old Walmarts. We're seeing some of that, so that's helping. 
Rick Nelson: And by our calculations, 31% return on equity on a trailing basis, you're doing it without any debt on the books and a pile of cash, $96 million in cash. How do you think about that going forward without a major step up in store growth? And where do you see that cash position going, I guess, and the alternatives for the cash? 
Gary Smith: Well, we think that there's still opportunity to buy our undervalued stock back and reduce the shares. But the next couple of years, we have a distribution center coming up and we'll be moving our corporate offices. So that'll probably take approximately $30 million worth of cash. So it's a good thing to have, Rick. 
Rick Nelson: And, Mickey or Jeff, if I could ask you where you stand with the CFO search at this time? What sort of timeline? 
Jeffry Rosenthal: Sure. We have a very -- we have an excellent staff here internally. And Gary is still available if we need him, but we'll be making announcements pretty soon. 
Operator: Our next question comes from the line of Sean Naughton with Piper Jaffray. 
Sean Naughton: There's been a lot of discussion about inflation in the channel and the need for pricing action in the first half of 2012. And it appears like you're managing through that very, very well with some of the good product you have in the store. Just wondering, just your initial thoughts and take on the back half of the year of 2012, what you're seeing from an inflationary impact across the store, and then the potential for product margin expansion in the back half of the year? 
Rebecca Jones: We don't see the -- that there's going to be any significant real increase going into the back half of the year of what we've already experienced. As new product comes out, new technology is part of that. We've seen that the consumers really prepared to pay for it, new technology and units in the retailers at this point in time. So we're not anticipating that, that's going to be an impact in the back half. As far as margin expansion, I think that we can look to doing about what we've had in the past. It's not going to be -- Gary is signing over at me right now, it's going to get much larger. But I would say that it's going to be about consistent as to where we're at, at this point. 
Sean Naughton: Okay, well, that's good. And then I guess just secondly, on the overall real estate portfolio, the overall potential for the store base for Hibbett. I think you mentioned that it's north of 1,300, but have you looked at -- a little bit closer about how big, you think, that the ultimate size of the chain could actually be, just given the fact that you're underpenetrated in many states, it appears, across the country? 
Jeffry Rosenthal: Right. There's no reason that our model can't work in all 50 states. So we're just staying tight geographically and trying to understand the customer as we expand states. So easily, we think we could double the chain that we have today. 
Michael Newsome: An example, Alabama is our most stored state relative to the population. And we know today another 10 to 15 stores we can add in Alabama, so we got a lot of growth in existing states. 
Operator: Our next question comes from the line of Dan Wewer with Raymond James. 
Daniel Wewer: Mickey, can you update us as to the game plan for the existing distribution center, whether you think you're going to be staying in the state or looking at Mississippi? And also, what's the timing of the transition? 
Michael Newsome: Well, I can give you the timing. We certainly expect to move the distribution center in about 2 years from this spring. But we have not 100% committed to exactly where it's going to be. We're very close, but we're not ready to announce that yet. 
Daniel Wewer: Okay. Next question I have, is tax-exempt shopping holidays for the back-to-school season, do you have a sense as to how that's going to shake out between the second quarter and the third quarter of this year? 
Jeffry Rosenthal: Yes, we don't have the exact -- we think it's going to be very similar. We do have some areas that back-to-school may get pushed back later in August. But from a tax-free, we think we're pretty comparable to what it's been and in the years' past. 
Michael Newsome: They don't really announce those -- they don't announce those dates until June, July. We should do it more in advance, but they don't announce them way in advance. 
Daniel Wewer: Well, they must have a investor in footwear stocks, huh? The third question I had, can -- Gary, if you could talk about the IT investments that have been made in the last year that you think you're beginning to get a payback? And then also talk what's on the agenda going forward and what the timing of the payback from those future investments would look like. 
Gary Smith: Well, certainly we get incremental benefit year-over-year with the systems as they become -- as the information becomes more historical relevant. Shortly, we'll be putting some departments on markdown optimizations on a testing basis. You're probably not going to see anything this year, probably start seeing it next year. We're seeing some of the burden of the costs reflected in SG&A, and I would expect that to lessen on a year-over-year basis as we move through the year. But certainly, we have a lot of initiatives going forward. I think MDO is probably one of the biggest gross margin contributors in the next couple of years as we learn to manage those prices from a promotional standpoint. And then the operations is looking forward to labor scheduling, which will put our people in the stores when the shoppers are there and make us more efficient. So there's a lot of things going to increase top line gross margin rate and the SG&A line. 
Operator: Our next question comes from the line of Sam Poser with Sterne Agee. 
Sam Poser: Can you talk a little bit about the malls versus the strip center business and the differential there? 
Jeffry Rosenthal: Yes, Sam, the malls have been performing just as high as the strip centers. So we've seen, definitely the last couple of quarters, that the malls business has been very good. 
Sam Poser: What do you think the change was there? Was -- what do you think the change was there, what drove that? 
Jeffry Rosenthal: I think a lot of mall customers are a lot more footwear driven. And as footwear has gotten stronger, I think the malls has gotten better. 
Sam Poser: Got you. And then a couple of other things. April accelerated beyond the other. With the Easter shift and everything, can you -- that's sort of different than a lot of other people. Can you give us why that might have happened to you and not others? 
Jeffry Rosenthal: Usually, we decelerate a little bit at the end of the quarter, and we just continued to accelerate. We were having great comps, really across all divisions, between footwear, apparel and equipment. And it just got stronger as we went on. And it's just one of those anomalies that were for the best. 
Sam Poser: One of the things we've heard from other people is, is that Nike was having trouble shipping a year ago and they were a little late on some deliveries. Do you think some of that might have helped you? 
Jeffry Rosenthal: I'm sure that could have been part of it. 
Sam Poser: And then lastly, can you break out by month, footwear and apparel? 
Jeffry Rosenthal: No. 
Sam Poser: You've done that in the past. 
Cathy Pryor: No, we're not going to do that. No. 
Jeffry Rosenthal: No, we don't have that. 
Operator: Our next question comes from the line of David Magee with SunTrust Robinson Humphrey. 
David Magee: Just a couple of questions I have. One is the SG&A ratio was levered nicely in the quarter. I'm just sort of curious underneath that, what were some of the puts and takes on the expense line? 
Gary Smith: Well, all classes of salary levered from stores was -- did a great job, distribution and the corporate office. So that was great. We've been able to take advantage, like a lot of retailers, with the credit card reduction in rates. And when you get 11 comps, it makes leveraging that expense line a lot more easier. But I think we started investments -- we're cycling some of the investments we had in IT, especially broadband. So I would think the growth on a per-store basis would tend to come down year-over-year as we move into the year. So I would think with strong top sales, we should be able to leverage that line probably a little better. 
David Magee: And are you all still feeling good about the change with NFL jerseys this fall? 
Rebecca Jones: We do. We think that there'll be some excitement around that when the football season starts. 
David Magee: Would there be any advertising by Nike to promote that? 
Rebecca Jones: Yes, Nike will be out there with a nice overall package around supporting that. 
Michael Newsome: David, the Olympics could be a small positive for July, August. 
David Magee: Which category do you think could benefit from the Olympics? 
Rebecca Jones: Mostly it's about running. I think that in a Summer Olympic year, you always see running kind of take a pop up. 
David Magee: And then lastly, the -- on the plans for the fall, can you remind us of what you're -- will be doing with outerwear this year in terms of expansion to the category in the stores? 
Rebecca Jones: Well, outerwear for us is a little bit relative in comparison to other retailers because we're more about lightweight jackets. Certainly, we have North Face, that's impactful to us in specific stores. It's not an all chain by any means, but we've got a little bit of expansion there for this coming fall. It's not significant to last year, but we do have some upside in store count. 
Operator: Our next question comes from the line of Mark Smith with Feltl and Company. 
Mark Smith: Can you talk about any significant weather impact in the quarter? 
Jeffry Rosenthal: We really feel -- I don't think there was really a big change at all. The only thing that we had last year was we had some tornadoes, which affected us for a couple of days. But other than that, no real impact. 
Michael Newsome: It probably wasn't as big a difference as you might think. The average for all Hibbett markets, as it relates to low this year, was 47 degrees, last year was 44. The average high this year was 68, last year was 66. We did have less rain this year. We had 3 inches versus 4.5 a year ago, so that probably helped some. 
Mark Smith: Okay. And then can you guys remind us kind of the bump that you're seeing on your store expansions and any change that you might be seeing in that over the last 6, 12 months? 
Jeffry Rosenthal: No, it's not -- it's less than 0.5% from a total of the expansions, so it does help. But all our expanded stores, we are hitting our performance goals and we feel really good about them. And we still have identified at least another 100 stores that we'd like to expand. 
Operator: Our next question comes from the line of Jonathon Grassi with Longbow Research. 
Jonathon Grassi: You guys have noted that a 60% -- of the comp increase, 60% was from increased transactions, 40% from higher prices. Did that ratio differ significantly between product categories? 
Rebecca Jones: What categories? 
Gary Smith: Product categories. 
Michael Newsome: Product categories? 
Gary Smith: Not really, Jonathon. No. 
Jonathon Grassi: Okay. And then I believe you guys said Nike, Under Armour and Brooks were your top running shoes. Has that been your -- has that been pretty consistent as far as brands that have been driving that business? 
Rebecca Jones: It has been. Nike obviously drives the total because they're so important to us as an overall to the business. But their Free product has been really outstanding this year, and we feel really good about not only what we sold through in the first quarter but what we have going into summer with them as well. Brooks was good for us in general. We don't have them in all doors. We do have them in really what we call our technical running doors. And the customers that shopped us in those doors really responded well to them. 
Jeffry Rosenthal: Yes, and I think you just said Reebok also is good and Adidas. So there's quite a few, and ASICS is still a player. So there's quite a few in our running category. 
Rebecca Jones: Yes, it's still lightweight running category. It's the total that's driving the top line. 
Jonathon Grassi: Okay. And then did you guys have the new Nike Frees in all of the doors this spring? 
Jeffry Rosenthal: Yes. 
Jonathon Grassi: Okay. And then you noted that the price optimization system right now is adding a little bit to SG&A before it, I guess, really starts to impact the gross margin line next year. Is there anything else to look forward to that could be providing an incremental bump in the SG&A over the next few quarters? 
Gary Smith: I don't think so, Jonathon. Nothing of any significance. 
Operator: And our next question comes from the line of Camilo Lyon with Canaccord Genuity. 
Camilo Lyon: And, Becky, I was hoping to just get a little bit more color on what product categories within footwear you're excited about for the future, for the forward coming quarters. Is there anything that should stand out, that should be a nice boost to comps coming forward? 
Rebecca Jones: Well, we don't see the running category really changing at this point in time. It's on a good trend, we expect that to continue forward. We do believe that the back-to-school programs that are coming out from Under Armour are going to be impactful for the back-to-school season. And when that product hits, we're really looking forward to that. We believe in that product strongly. And outside of that, our Jordan business continues to be very healthy. And we also think that, that fashion consumer is ready for the new products that come out. So the back half of the year, we're looking forward to that continued success. 
Camilo Lyon: On that Under Armour product, is that the Spine that you're referring to? 
Rebecca Jones: It is. 
Camilo Lyon: And is that a product that you're planning on taking to all doors? Or is that going to be a selected allocation program? 
Rebecca Jones: It's -- it'll be pretty close to all stores. 
Camilo Lyon: Great. And is that a change from what Under Armour footwear typically has been for you? Or is that pretty consistent in terms of penetration by door? 
Rebecca Jones: Well, it's -- I would tell you it's probably a little bit more than we had in the past because we just feel that good about the technology that they're bringing out. Our consumer has always been hungry for an Under Armour footwear piece, and we have carried it. But we really think that they've hit the mark well this time. 
Camilo Lyon: Great. And then I know -- I think this question has been asked in some format, but I'm hoping to get a, maybe a little bit more clarity, with respect to the gross margin, the merchandise margin drivers over the next 12 to 18 months. Maybe if you could help prioritize or speak about which ones would you think about as being the biggest contributors to merchandise margins, that would be helpful. 
Rebecca Jones: I would tell you that when I look at by division, where we're getting our gains and our gross margin expansion, it's been pretty consistent across all areas. And I really believe that there's a couple of reasons for that. One, we're in a better shape from a clearance perspective. We're in a better shape as far as cleanliness in our inventory. And that had a positive impact across the board for us. When I look at what we're looking at going forward and how we -- what we have in our plans, again, across the board, our merchants are doing a really good job of managing their business. And so we're seeing it as a positive in just about every category just because we're a little bit more disciplined at the way that we're going at our markdowns and ensuring that the inventory stays fresh. 
Michael Newsome: Yes, let me add something to that. We've improved so much in systems. And sometimes, merchandise margin gets back to having the right product in the right store at the right time and sell it through at full price. And we have greatly improved in that area in all departments. 
Camilo Lyon: Have you been working with the vendors to improve the timing of those deliveries throughout the quarter? Has that been a big contributor? 
Rebecca Jones: Well, we -- you always want to work on flow, but when you look at the way the quarters fall, specifically in footwear, it pretty much starts -- every quarter starts about the time when the foot traffic is going to come into the stores anyway, so you do want to make sure that you've got fresh goods flowing in at the first of the quarter. Yes, we do like to make sure that we have fresh goods coming every month, but the majority of the receipts from a footwear perspective will always be front-loaded. 
Jeffry Rosenthal: Also, to look forward to once we get MDO up, that will be also a big help on the margin. And as we move in to next year, we expect to get some benefit from that. We also -- which we really didn't talk about, was assortment planning, and we really put that in about a year ago. And we're starting to see some of the benefits from planning our inventory better and getting the right assortments in the right stores. So there's quite a few things that we're working, and there's a lot of leverage we can pull. 
Operator: Our next question is a follow-up from the line of Sam Poser with Sterne Agee. 
Sam Poser: Just real quick. How much -- you talked earlier about you were -- or a few quarters ago, about you're excited about the increased allocations you were seeing from some of your major -- from the major players. Is that continuing to improve going forward? How much of that has improved this spring? And then also, with your new allocation -- with your allocation systems and so on, I understand that you still fill in your footwear on a prepack basis. Are you going to be able to go to single size fill-ins? And if so, how will that help drive sales and margins? 
Jeffry Rosenthal: Yes. Sam, from an allocation standpoint, we always negotiate with all our vendors. And as we continue to grow and as we become more important, we see that improve. From a filling-in, from a single or from prepack to a single, part of our new distribution center, we are definitely going to be able to fill in more on a weekly basis than we've ever been able to do since we've been 93% cross stock. We're trying to figure out right now, is it 75-25 or 80-20. So we will be changing our distribution model as we grow and as we get into our new distribution center in the next 18 to 24 months. 
Operator: And I'm showing no further questions. Mr. Newsome, I'll turn the call back over to you. 
Michael Newsome: In summary, Hibbett Sporting Goods is on a very positive trend. First quarter 2 years ago, earnings per share were up 56.8% over the previous year. First quarter last year, earnings per share were up another 29.2%. This year, earnings per share, up another 29%. Comp store sales, first quarter 2 years ago were 14.5%; last year, 6.8%; and on top of both of those, another 11.1% this year. First quarter 2 years ago, operating margins, income -- operating income, I should say, was up 15% -- was 15%. Last year, it was 16.8%. This year, 18.2%, a great trend. Fiscal 2010, fiscal 2011, fiscal 2012, new stores are performing significantly above our new store model. We feel positive about our ability to continue to increase our new store growth this year and in future years. We will continue to expand at least 15 stores per year. And we feel like this year, net of any closings and net of all closings, we should have 40-plus new stores. And next year, it will be more. We're a greatly improved company year-over-year and we have a great future in Hibbett Sporting Goods. Thanks for being on the call, and we look forward to speaking with you on August 17 at 9:00 Central Standard Time with our second quarter results. Thank you. 
Operator: Ladies and gentlemen, that does conclude the conference call. We thank you for your participation and ask you to please disconnect your lines.